Operator: [Operator Instructions] It is now my pleasure to introduce Mr. Paul Alexander.
Paul J. Alexander: Thank you, David, and good morning, everyone. Welcome to Kimberly-Clark's Third Quarter Earnings Conference Call. Here with me in Dallas today are Tom Falk, Chairman and CEO; Mark Buthman, Senior VP and CFO; and Mike Azbell, Vice President and Controller. Here's the agenda for the call. Mark will begin with a review of our third quarter results. Tom will then provide his perspectives on our results and also the full year outlook. We'll finish with Q&A. As usual, we have a presentation of today's materials in the Investor Section of our website, which is www.kimberly-clark.com. Before we begin, let me remind you we'll be making forward-looking statements today. There can be no assurance that future events will occur as anticipated or that our results will be as estimated. Please see the Risk Factors section of our latest annual report on Form 10-K for further discussion of forward-looking statements. We'll also be referring to adjusted results and outlook today, both of which exclude certain items described in this morning's news release. For further information on these adjustments and reconciliations to comparable financial measures determined in accordance with GAAP, please see today's news release and additional information on our website. With that, I'll turn it over to Mark
Mark A. Buthman: Thanks, Paul, and good morning. I'll start with the headlines. First, we delivered organic sales growth of 4%, highlighted by 11% growth in K-C International. Second, adjusted earnings per share were $1.26, an 11% increase compared to last year. And third, cash flow remained strong as we generated approximately $0.75 billion dollars in cash provided by operations. Now, let's cover the details of the quarter. Overall sales increased 8% to an all-time record $5.4 billion. Organic sales rose 4%, driven by higher net selling prices of 3%. Product mix and sales volumes each improved slightly. Volumes benefited from product innovation and targeted growth initiatives. However, soft demand in portions of North America and Europe largely offset these gains. Third quarter adjusted operating profit rose 8%, with an operating margin of 14.1%. Benefits from top line growth and $90 million of FORCE cost savings more than offset cost inflation of $150 million and higher than expected production curtailment to manage inventory levels. As expected, FORCE savings picked up nicely from the first half of the year, and our teams continue to push aggressively to maximize savings. Nonetheless, with year-to-date savings of $195 million, we could fall somewhat short of our target range of $300 million to $350 million of savings for the year. Third quarter adjusted earnings per share were $1.26 compared to $1.14 last year. The improvement was driven by higher operating profit, along with a lower share count and a lower effective tax rate. Given our year-to-date adjusted tax rate of 30.1%, we now expect the full year rate to be toward the low end of our target for the year of 30% to 32%. Cash provided by operations increased slightly to $750 million in the third quarter. I'm encouraged by our cash generation and expect a strong finish to the year. We repurchased 0.6 million shares of KMB stock in the quarter at a cost of $40 million. As mentioned in our news release, we've decided to accelerate an additional $260 million of pension contributions into 2011, and reduce our full year share repurchase target by the same amount. This will improve our pension-funded status nicely from current levels, and it will allow us to make much more modest contributions next year, while setting us up for a strong year of share repurchases in 2012. Now I'll highlight a few areas from our segment results for the quarter. As usual, further details are in our news release. In Personal Care, organic sales rose 5% with volumes and net selling prices each advancing about 3%. K-C International had a terrific quarter with 15% organic growth, led by strong performance in Latin America, China and South Korea. In North America, we continue to generate high single-digit to low double-digit volume growth in adult care, feminine care and baby wipes. On the other hand, volumes were down in infant and child care. The volume softness reflects category declines, competitive promotional activity, reductions at customer inventory levels in diapers and some consumer trade-down in the child care category. Personal Care operating margins of 16.6% remained below prior year. Input cost inflation, production curtailment and higher between-the-line spending were partially offset by benefits from top line growth and cost savings. Now turning to Consumer Tissue. Organic sales were off 1%. Net selling prices rose 4% in response to cost inflation and product mix was favorable by 1%. On the other hand, volumes fell 6% reflecting sheet count reductions in North America, our focus on revenue realization and strong promotion support for COTTONELLE bath tissue in the third quarter last year. Consumer Tissue operating margins improved to 12%, our best performance in 2 years that was driven by sales growth, cost savings and lower between-the-line spending. Moving to K-C Professional & Other. Organic sales rose 5%. The increase was due to improved volumes of 3% and higher net selling prices of 2%. Volumes were up mid- to high-single digits in K-C International in Europe. On the other hand, volumes were even with year-ago levels in North America, as high unemployment and office vacancy levels continue to impact market demand. Operating margins of 14.7% were similar to last year. And lastly, Health Care organic sales were up 8%, driven by higher sales volumes. Medical supply volumes rose double-digits, led by growth in surgical products and exam gloves, reflecting improved North American demand. In addition, global medical device volumes increased high single digits, including strong growth in Europe and Asia. Operating margins of 13.8% were somewhat above last year, driven by sales growth and cost savings. So that wraps up the review of the quarter. To recap, we achieved solid organic sales growth led by K-C International. We delivered strong growth in adjusted earnings per share, and we continue to generate significant cash flow. Now I'll turn it over to Tom.
Thomas J. Falk: Thanks, Mark, and good morning, everyone. I'll share my perspectives on our third quarter results and our full year outlook, and then we'll get to your questions as usual. So starting with the third quarter, I'm encouraged that we were able to deliver 4% growth in organic sales, and deliver double-digit growth in adjusted earnings per share. We overcame significant cost inflation, and also softer-than-expected demand in parts of the developed markets. Some of the keys to this performance was our focus on our targeted growth initiatives, our focus on revenue realization and our focus on delivering cost reduction. Let me share a few of the highlights with you in each of these 3 areas. First, we made excellent progress with our targeted growth initiatives. In North America, that's particularly true in our adult care, feminine care and baby wipes businesses. Our global health care medical device business also achieved solid volume growth in the quarter, and K-C International delivered outstanding results, led by our teams in China, South Korea and Latin America. Turning to revenue realization. We delivered 3 points of favorable net selling price in the third quarter. That's up nicely from the 1% benefit we realized in the first half of this year. Our progress in the third quarter was highlighted by success in K-C International, K-C Professional and in our North American Consumer Tissue business. So overall, our pricing initiatives are on track, with our expectations for the year. In terms of cost reduction, in addition to the FORCE savings that Mark already mentioned, we continue to make good progress controlling our overhead spending. Through the first 9 months, our total between-the-lines spending is up 2%, while our sales are up 7%. So we're on track to achieve our target to gross spending slower than sales this year in this category. Let me give you now a brief update on our market positions, which remain solid overall. In the U.S., our third quarter market shares were ahead of or even with the year-ago period in about half of our consumer businesses. On a year-to-date basis, we can make the same statement for 6 of 8 of our consumer businesses. Third quarter private label market shares were stable overall versus last year, although they did pick up modestly from second quarter levels in some categories. And while we believe this reflects the generally cautious consumer, and in some cases, we've had branded price increases that occurred ahead of private label. Outside the U.S., we continue to grow ahead of category rates in a number of markets in K-C International, including China and Latin America. In Europe, our market shares are flat to down slightly, as the environment worsened modestly there over the last 3 months. Before moving to the outlook, let me touch on a few of the innovations we launched in the third quarter. Our Huggies Little Movers Slip-On Diapers are off to a solid start in North America. Our distribution levels continue to build and slip-on achieved 4 points of market share in the most recent 4-week time period. This innovation is also performing well in a number of markets in K-C International. Our new Poise Hourglass Shape Pads are also performing well, and they achieved 3 points of market share in the quarter in the light end of the U.S. Adult Care category. And we're excited about the prospects for Kleenex Cool Touch facial tissue, which started shipping toward the end of the quarter. Now let me turn to the outlook. We expect our momentum with revenue realization and targeted growth initiatives to continue, led by K-C International, while continue to operate financial discipline, focusing on cost savings, control of overhead spending and cash generation. Key changes to our full year planning assumptions are included in this morning's news release, but here are the highlights. In terms of sales, we've taken our volume growth assumption to the low end of our 1% to 2% target range. This reflects somewhat lower expectations for portions of the develop markets, particularly in the North American infant and child care categories. In addition, as a result of the recent strengthening of the U.S. dollar, we expect less benefit from changes in currency rates in our previous plan. The weaker Mexican peso has also caused us to lower our expectations from our equity income from K-C to Mexico. On the other hand because commodity costs have moderated in some from the peak levels that we experienced this summer, we now expect about $100 million less cost inflation in 2011 than we previously estimated. So putting it altogether, we're now targeting our 2011 adjusted earnings per share to be in the range of $4.80 to $4.90 per share, and that's essentially consistent with our previous guidance in July, which was that earnings were more likely to be in the lower half of our target range of $4.80 to $5.05 per share. So to summarize, despite the challenging near-term environment, our businesses continue to be fundamentally strong. We continue to deploy our strategies for the long-term success of Kimberly-Clark. And while we're not on track with all of our goals this year, we are convinced that our Global Business Plan will improve shareholder value. So that wraps up our prepared remarks, and we'll now be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Gail Glazerman with UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: Can you talk a little bit about -- I guess, just be around demand environment, I mean with some of the weakness you saw in the quarter in developed markets, more weighted towards inventory destocking that might have played out, or are you seeing changes in overall consumption pattern?
Thomas J. Falk: Well, I wouldn't say consumption pattern, we say, we still see derive from the birth rates for the diaper and training pant category, is where we saw the biggest category decline relative to our expectations. And so, it's partly, the birthrate's been down for 3 years. That's starting to flow into the child care category. As you've got 3 years of low birth rate now in toilet training. So that one probably had the biggest volume hit relative to expectations. And a little bit of inventory destocking was a part of it. And I think that's just customers trying to run their working capital tight as you'd expect in this environment.
Gail S. Glazerman - UBS Investment Bank, Research Division: And can you talk a little bit about the improvement you saw in the U.S. paper towels? Is that basically back where you think it should be or is there incremental recovery yet to come?
Thomas J. Falk: Well, I think we're executing better. We've got some of distribution back, and both Viva and Scott towels had decent volume growth there. So I think we're overall happy with the progress we're seeing, and bouncing back from what were kind of historic low share periods for us.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And just on inflation, your rising cost of these went out sequentially or would you expect to see some relief in the fourth quarter or are they still increasing?
Thomas J. Falk: No. We think they peaked in the early third quarter, so we'd expect to see a little bit of benefit in the fourth quarter. But I will say that they are stickier coming down it seems than you would expect, given how oil has performed.
Paul J. Alexander: And Gail, this is Paul. I would just add even though they are coming down sequentially, they still will be up year-on-year in the fourth quarter.
Operator: The next question comes from Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Just a couple of things. One, you started to answer the question I think last, but it was struck by how volumes were really quite, quite tough [ph] actually in the adult markets. And of course, there are some birthrate issues and sheet reduction, inventory reduction, et cetera. But there is does seem to be this, intentional or not, I don't know, but a little bit more a subdued view of demand in the release. And I'm just trying to get a sense from you about, are you seeing that flatten, get worse? See things getting a little bit better? And I ask [ph] that question or I asked that question also in the context of you raising prices rather significantly, if there's any risk to some of those price increases as you go forward, given the volume response?
Thomas J. Falk: Well, I guess a couple of things. We took the overall volume number in our guidance down to the low end of the range, so we said we were 1 to 2. It's going to be closer to 1 for the year, which is really where we think it's playing out. I'd say the de-sheeting effect, we expected that's -- our shares are fine in bath tissue, which is where most of the de-sheeting occurred and trends in facial tissue are positive there. So that one is playing out about as we would've expected. I'd say the diaper training pant category is one that just continues to be a little softer. Our insight is that, we're not seeing it in terms of diaper usage per day. It's really -- it's just in some cases, moms delaying toilet training or even training out of diapers, is hurting the child care category, the low birthrate continues to be lower than was forecast early in the year. And so, you're just not having as many new moms enter the category.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: I guess, one of the second part of the question in terms of, are you still comfortable with taking the pricing you're taking, you're planning to take, have taken, given the volume response that you've seen?
Thomas J. Falk: Well, in the diaper category, there really hasn't been any pricing in the category. In fact, pricing was negative in the quarter. So I would say, the weakness in the category is not related to price change. In the Consumer Tissue, the pricing is beginning to be put in place in the marketplace, and I think the volume response is about what you'd expect, so.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: But in PC, you plan to take pricing, it gets pushed off now, it's supposed to be October, is that happening?
Thomas J. Falk: Yes.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: It is happening?
Thomas J. Falk: A lot of this is by account. So the account changes will start to roll to the shelf in the fourth quarter.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: So maybe more volume hit on that business or not?
Thomas J. Falk: Well, I think that potentially, you'll see some volume softness just because customers typically order a consistent number of cases, and if there's -- with an account change, you're going to have fewer diapers per case. So you typically have little bit of an inventory impact when the account change goes into the marketplace. The category tends to be a little softer than we're expecting, and that's factored into our adjusted guidance.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then one question that's sort of a recurring theme, zeroing in on Europe and Consumer Tissue specifically, can you talk a little bit about that business, and how it strategically fits in your portfolio at this point?
Thomas J. Falk: Yes, I mean, yes, it's -- we've got leading brand shares in Europe in bath tissue. We've got a strong facial tissue business in Europe as well. It's got margins that are probably a little below the segment average, but consistently profitable. And the challenge in Europe has been the growth in private label, and actually encouragingly, our shares were relatively stable this quarter and private label was stable as well. I think the challenge has been getting any real price recovery there with the run-up in fiber costs has not been easy.
Operator: Our next question comes from Caroline Levy with CLSA.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: I was wondering if you could take a longer-term view on what this decline in birthrates means in the Western countries, as you look at to 2012 through 2015. How much do you know about the volume impact, just from pure demographics? And I guess, there's a flip side of it, in countries like throughout Latin America or Asia. How much do you know again, about the tailwind from birthrates?
Thomas J. Falk: Yes. I'd say a couple of things. If you look at a global trend, birthrates have been coming down for a while. I mean, Europe is probably been the lowest. But even in China, with the golden baby policies there, you have a fairly low birthrate in Korea. Probably it would be that some of the highest birthrates in the world would tend to be in Africa and in parts of Latin America. And so obviously, our business in Latin America has benefited from that. In the U.S., we'd say the things that typically are going to drive birthrate are household formation, employment, those kinds of things. And obviously, with a weaker economy in the near term, I'd say the category is probably going to be a little softer in 2012 than our prior long-range forecast would've indicated.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: And are there ways to counter that? I mean, how much innovation are you looking at, that can target that? Does it come with lower price product? Does it come with breakthrough product? How are you thinking about that declining global rate?
Thomas J. Falk: Well, yes, I mean, absolutely, as you go into emerging markets, you're still seeing used category penetration. And so you saw that in our K-C International growth this year. So for example, where we're today selling diapers, but we don't have a very well-developed wipes [ph] business, we don't have a very well-developed Little Swimmers business, we still got opportunities to launch diaper pants or training pants to move the category up mix. Those are all things that we're looking at, as those consumer incomes develop that they want the best for their baby and they'll buy a broader range of those products. Those categories are more fully penetrated in North America. So it's looking for, whether there are other things that we can do like launch Huggies Slip-On Diapers that we did in the third quarter to again, move Mom to a better mix and a better performing product.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Right. So as you think about -- I think you said China, Latin America and Korea were the highlights internationally, is this correct?
Thomas J. Falk: Yes.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: And what happened in Mexico though, that seems a little different from the rest of Lat Am?
Thomas J. Falk: Mexico had mid-single-digit volume growth, stable shares. Really they got hit more with commodity costs and some foreign exchange issues as their U.S. dollar payables, they suffered a loss on that as the peso devalued at the end of the quarter. But their fundamental volumes in shares are solid in Mexico.
Operator: Our next question comes from Jason Gere with RBC Capital.
Jason Gere - RBC Capital Markets, LLC, Research Division: Just a question on the growth in KCI. So I mean, it looked like a good chunk of that was on the pricing side. I mean -- and regards to the Personal Care business, the pricing that you took, how much of that was for commodity? How much for currency? And just with some of the major currencies, such as the peso and the real, obviously starting to turn. Just your comfort level as you go into 2012 that, that pricing is kind of hold.
Thomas J. Falk: Yes. I mean, I think each of our countries has a strategy to maximize their local currency net income. So they're looking at their business from the perspective of a local currency point of view. So if their commodity costs and local currency terms are going up, they're going to look at pricing to pass that through. They're not necessarily trying to deliver a dollar result, that they take pricing because of translation. So as you think about it, really most of the pricing was result of commodity input going up.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay, okay. That's good. And then just thinking about gross margin, I guess it's a two-part question, one, obviously, it's good to see the inflation especially in the pulp side coming down. I guess the first question is, as you exit the year, do you expect to see any gross margins to be kind of flat? I mean, obviously, I think the curtailment -- production curtailment had a bigger impact in the third quarter, that kind of weighed down on your prior guidance. But I guess the first part is, as you look for a nice modest increase in gross margins exiting the year. And then secondly, when you think about 2012, it kind of has the same dynamics as 2009, where FX was kind of turned the other way, commodities are improving, pension it's going to be a little bit of a headwind, and you have some good cost savings. The magnitude that you saw back in '09 was tremendous, but of course, pulp was down 20%-plus year-over-year. And just I guess, I was wondering if you kind of give a little bit of color about 2012, and how you see just the gross margin progression going fourth quarter, and maybe into next year.
Thomas J. Falk: Good questions. If you think about the sequential changes in gross margin in the fourth quarter, pricing should be a positive, because we'll get more pricing flowing through from our North America baby Child Care businesses. Commodities should be a positive sequentially. Still, the pressure year-on-year in many areas. Currency will be a drag, because you'll have some exchange rates that have gone the wrong direction. And downtime sequentially, should be similar to slightly positive. So I think that one we'll have to see where the volumes actually come out. So on balance, I'd say should be more positive than the negatives moving from third quarter to fourth quarter. As we look at 2012, and we're still -- there's a lot of moving parts, so it seems like more than ever, looking at what's the trade-off of currency headwinds versus commodity tailwinds and how that's going to play out. But we'll give you more color in January, but our goal is to deliver a 2012 plan that achieves our Global Business Plan goals and has the kind of top line and operating improvement and earnings per share improvement that we're looking for.
Jason Gere - RBC Capital Markets, LLC, Research Division: But directionally, am I on the right path in terms of that you should see gross margins start to sequentially improve in 2012? I'm not talking about -- I mean you just point it, yes, you're right I think it's a little premature to talk about the...
Thomas J. Falk: Yes. I don't think it would be the '09 kind of a windfall, though, I think. But yes, directionally it should improve.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay. And then just one last question, I'm just wondering on -- just on FORCE. I'm just thinking about that you're saying it's going to be shy of the 300 to 350. I mean, so does that mean it's not going to -- it's going to be below 300 or it's going to be the low end? And I guess the question is, last quarter, you guys raised it, so what kind of delayed some of those savings that you thought you would've gotten this year? Or is this just kind of plan to kind of have more in store for next year and just not kind of rush it?
Thomas J. Falk: No. I mean it's not like FORCE is a bank account that we can take it out as easily. But I think it really has more to do with there's a little bit more downtime than we thought. When you're not running your process as full, you can't push as many cost savings through that pipe that go along with it. So that's probably the biggest single effect. And so I think we got $195 million in the bank through 3 quarters, so we'd need an all-time record fourth quarter to get to the low end of the range. So there's a risk that we'll be below the low end of the range. But we'd certainly expect us to keep our foot on the gas of delivering as many cost savings, because when we deliver those, usually you've got benefits that spill on the 2012 as well. So our team is focused on delivering as much as they can this year.
Operator: Our next question comes from Chris Ferrara with Bank of America.
Christopher Ferrara - BofA Merrill Lynch, Research Division: So the FX translation for next year, for 2012, even Q4, can you just talk about what you expect the impact to be on the bottom line relative to the top line, right, obviously you guys have transaction dragging some markets, but can you just talk about what that effect might be, right? If you see a couple of points on the top line, what would the bottom line coincident effect be?
Thomas J. Falk: Yes, I mean, it's from a translation standpoint, it's fairly linear. So you'll see that same kind of a drag on the bottom line. Transactions were partially hedged. We usually hedge about half of our transaction exposure, so there's more of a lag before that flows through earnings.
Christopher Ferrara - BofA Merrill Lynch, Research Division: So you would, but you would expect the bottom line impact to be bigger than the top line impact right? When you put it all together, not just translation, translation in general [ph].
Thomas J. Falk: Yes.
Christopher Ferrara - BofA Merrill Lynch, Research Division: And any order of magnitude that you can talk about? And I know we've seen in the past, it's been pretty variable, right? Is there any kind of a relationship that you guys can talk to?
Thomas J. Falk: No. I mean, it's such a complicated question because it really depends on where the exchange rate happens. And you're seeing such wild swings in the last 4 weeks of the quarter. I think we'll give you a better outlook when we get to 2012. Typically, the big currencies for us, the euro is important, the Mexican peso is important, the A dollar is important, the Korean won is important, the Brazilian real is becoming increasingly important. Most of those have weakened at least mid-single digits to double digits in the last 4 weeks. And we'll see what happens between now and the end of the year.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Got it. And on marketing research, general administrative, right. I mean, I know you guys have talked about cutting costs out of there, and it's been a little bit volatile the last couple of years as a percentage of sales. But can you just talk a little bit about what you think that relationship should be like going forward or what the year-on-year change can be as you think about next year? Are we going to see leverage to the SG&A line essentially as you move into 2012?
Thomas J. Falk: Yes, I think as you look at how we think about it, we want to be able to invest more in strategic marketing to fund innovation. And so you're going to see that part of it with upward pressure, and us wanting to invest more or where we can to go faster and deliver more growth to the market. In our KCP and Health Care business, the selling line is their advertising promotion lever, so we're going to be investing more sellers and driving our safety business, driving our medical device business. Our G&A line is where we're trying to get efficiency, and so are trying to run that and grow that at a slower rate than sales. So if you looked at just SG&A and not include strategic marketing, our goal would be for that overall to grow a little slower than sales. But you would have more upward pressure on sales than downward pressure on G&A, if that makes sense.
Operator: Our next question comes from Bill Schmitz with Kimberly-Clark.
William Schmitz - Deutsche Bank AG, Research Division: Just on a Personal Care margin front, can you just kind of give us again what's driving that? I mean, how much of it is a slowdown in the training pants business, which is much higher margin? And how much of that is just like the geographic business mix, where some of the lower margin markets are growing faster?
Thomas J. Falk: No. I'd say it's a couple of things. I mean, a, we're still seeing higher commodity cost, so Personal Care took more about of the brunt of inflation this quarter as really pulp was actually slightly positive for the family care segment, and all of the fiber cost increase in the quarter fell in K-C Professional, which is really secondary fiber. And so Personal Care had the brunt of the inflation this quarter, and really had no positive price to speak of in the develop markets. We got some in the emerging markets, but not as much in the develop markets. And then the weaker volume in North American Diapers and Training Pants was obviously higher than segment average. So that was a drag on the margins as well in the quarter.
William Schmitz - Deutsche Bank AG, Research Division: Okay, so it sounds like one is kind of temporary, and one is just contingent on what volume growth does, is that fair?
Thomas J. Falk: Yes, I mean, I think we'll start to get price in the fourth quarter, so that will help. You get a little bit of commodity improvement sequentially in the fourth quarter, which will help. And then, obviously, you need to look for stronger volume growth in those categories over time.
William Schmitz - Deutsche Bank AG, Research Division: Okay, great. And then how correlated are FORCE savings to commodity costs? I mean that like when commodities are higher, is FORCE easier to generate than when commodities are rolling over?
Thomas J. Falk: I'd say, we look at our procurement team, for example, looks at savings in 4 buckets. They look at year-on-year cost savings. They look at cost avoidance, where everyone else in the industry got an increase and we didn't. They look at working capital savings, and then savings on capital spending. And so in rising price environments, you tend to find more cost avoidance and a little bit less year-on-year. And so in falling price environments or neutral price environments, you tend to find more year-on-year cost savings, but I think that's at the margin you're still looking for lots of year-on-year cost savings from that team. I think for us, for this year, we got more FORCE out of our lean activity, where we're driving waste and efficiency and productivity growth. And that's been a positive for us as well.
William Schmitz - Deutsche Bank AG, Research Division: Okay, great. And then one last one, if I could. You said there was some trade de-stocking on the Personal Care side. It's kind of unusual to see de-stocking ahead of price increase. So can you just give us a little bit more color on what's going on there?
Thomas J. Falk: Yes, the price increase is via account, I think you're just finding, at the end of every month, retailers are managing their balance sheet. Everybody's got working capital objectives, just like we do and you are seeing a little tighter working capital phenomena from a couple of key retailers, and we saw that more pronounced this quarter than we've seen in a while.
William Schmitz - Deutsche Bank AG, Research Division: Is that a category thing or is it a brand thing?
Thomas J. Falk: I think we saw it more in Personal Care this particular quarter than we did in tissue.
William Schmitz - Deutsche Bank AG, Research Division: Okay. But is it the Personal Care category or is it Huggies versus Pampers? I mean, what -- it wasn't just related [ph] to Kimberly?
Thomas J. Falk: No, no. It was the category.
Operator: Our next question comes from John Faucher with JP Morgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: And just a quick question. Obviously, you said, this isn't 2009, and we're not looking at the type of sequential falloff in commodity costs that we saw back then. But there's always a question of okay, when does the sequential fall off and commodities turn into sort risk to pricing? And so, can you talk a little bit about that conceptually, in terms of the rationale behavior and the category, how you see the competitors thinking about things. And what -- where is it get to the point where we should say okay, the sequential fall off could lead to higher levels of discounting, in terms of people looking to give some of that back?
Thomas J. Falk: Good questions. If you kind of go back 6 months, which is about where we were when we made a lot of the pricing announcements. Commodities have run up quite a ways, past where we were then. And so I think, as we would look at it, we'd say yes, commodities have come back a little bit, but they're still at higher levels than we were -- than they were, when we announced the price increases. So we would say the price increases in the marketplace that we've announced are still appropriate and justified by the commodity input cost. We'll still have year-on-year cost increases in the fourth quarter, for example. And we'd play that through. So I assume our other competitors in the marketplace are seeing the same things, and so at this point, we'll see how it plays out in the marketplace, and whether private label moves and all those kind of things.
John A. Faucher - JP Morgan Chase & Co, Research Division: Okay. So it sounds like we almost probably need to look at this in terms of the rationality of pricing, not just on sort of a sequential or even a year-over-year basis, but sort of more like a peak to trough.
Thomas J. Falk: Yes, that makes sense.
John A. Faucher - JP Morgan Chase & Co, Research Division: At the level, is that a right way to look at it?
Thomas J. Falk: Yes. But I think at this point, based on what we see, it's hard to imagine commodities falling enough, that you'd have an impact on market pricing, but it's -- there's a pretty volatile world we live in some days.
Operator: Our next question comes from Chip Dillon with the Vertical Research Partners.
Chip A. Dillon - Vertical Research Partners Inc.: First question is on the pension situation. Could you just let us know, you're upping the amount you're putting into it. How much of the $680 million to $760 million have you done through the 9 months? And is there, should we expect the share -- it looks like you're not going to buy back stock in the fourth quarter. Would you have an early look as to how you think about that next year?
Thomas J. Falk: Yes, what we -- what our thinking on that, and then maybe Mark can add a little color, too, is that the big issue on the pension plan for us is more as you look at what's happened to the discount rate. We made actually good progress this year, we put a little over $400 million in the plans already. We've actually had better than our then benchmark performance. But when you compare that to what's happened to the liability because of the drop in long-term interest rates, we basically gone backwards on our funded status. And so we've got some internal goals that we want to hit in terms of funded status. And so we made the call that we would go ahead and accelerate some of our 2012 pension contribution into this year, and we'll probably then do a little bit heavier than normal stock buyback next year, and kind of flip-flop those. But Mark, I don't know if you want to add anything to that?
Mark A. Buthman: Yes, I think directionally, that's right. We knew coming into this year, we're going to be heavier on share purchases, maybe than we have typically done. We're going to be more front-end loaded. We've accomplished that. We're generating plenty of cash flow, and which gives us some options. And just given where pension-funded status was relative to our target, decided to shift that a little bit. You should think about it as an acceleration of next year's and that frees up cash to buy back shares in 2012.
Thomas J. Falk: Well, one of the downsides of low interest rates, is that everybody's pension plans sprung a leak. So it's got to be filled up with more cash.
Chip A. Dillon - Vertical Research Partners Inc.: Got you. And let's say rates stay roughly where they are, and your assets stay where they are now in the plans, do you think, I know last year, you ended the year about $1.1 billion in your plans underfunded. Would you be in that neighborhood with this or might you improve on that? And secondly, I know in 2010, your pension expense, I'm not sure what it's been this year, was it was $133 million looking at your K, did you see a big change from '11 to '12, given that you're putting this funding in?
Thomas J. Falk: Yes. I mean, I would guess that when putting this additional funding in, our funded status would improve slightly on the plan.
Mark A. Buthman: It's about, think of it as $260 million relative to that 1.1, Chip, that's about 25% of our global GAAP.
Thomas J. Falk: So we would -- while our funded status has fallen off, this will top that up and then some. And then as you -- as one of the things that we did by freezing our DB Plan, we're less sensitive now to volatility in our pension expense going forward, because we'll be amortizing any actuarial gains and losses over the remaining physical life of employees, not their service life. So there's some -- we'll see less volatility next year. We'll give you more color on what our pension expense assumptions are in 2012. But I don't think it's going to be as big a swing as you might have seen in prior years.
Chip A. Dillon - Vertical Research Partners Inc.: Okay. And then a couple of small items. One is, it looks like you talked about your ad spend going up this quarter. Can you just give us a flavor as to will this level sort of be maintained? And then on a different note, if you just would talk a little bit about the other income line, $17 million positive, it's certainly bigger than normal. Is that something that's new? Or was it sort of a onetime just puts and takes happen to end up there, and it should go back more or less to 0 in the future?
Thomas J. Falk: Yes. On the ad spend, I mean, we were up a little bit year-over-year, but as a percent of sales, we're not, we're down. So our expectation is over long term, I think you'd still want to see us growing that line a little faster than sales growth. And so that's still an opportunity area for us, as you look at 2012 and longer forecasting, we'd tend to want to invest more there if we could. So I'd say yes, that one's got more upward pressure. On the other income expense, we had currencies, the small currency transaction gains this time versus losses last year. And then we had a sale of a small asset in South America that had a gain on it that was the other factor, but that would not be something that you'd repeat.
Chip Dillon - Citigroup: And then lastly, the FORCE issue this year being a challenge, it looks like you picked up a bit at least in the third quarter from the first half pace [ph]. But would you say that's mostly due to the volume challenges and you can't run as well, or was it that you just didn't you don't feel you'll be able to tackle all the programs you might have had early in the year?
Thomas J. Falk: No. I think it's more of the former. But as you take curtailment, and you're not running as -- running your process as much, you don't get the benefits of the cost savings that were inherent in the cost savings program. So I think our teams are aggressively looking at delivering another very solid year from a FORCE standpoint, but because of the weaker volume, we're not going to get quite as much through the pipe as we would've thought.
Operator: Our next question comes from Lauren Lieberman with Barclays Capital.
Lauren R. Lieberman - Barclays Capital, Research Division: Just on Consumer Tissue, I know you mentioned a couple of times that the de-sheeting you would expect the volume decline seemed sort of in line. So when you look from here though, can you just remind me how long the lag is to where kind of volume or just normal consumption catches up with that kind of de-sheeting activity?
Thomas J. Falk: I mean, I think that until you annualize the de-sheeting activity, you'll have a volume drag from de-sheeting relative to your comps. So we look at dollars share and would say on a dollar share basis, we're essentially on track with where we thought we'd be. We're probably watching more competitive promotion pricing across multiple outlets and it's a little choppy right now. Some places it's moved up, some places it hasn't. So that's probably the biggest thing we're watching in the marketplace right now.
Lauren R. Lieberman - Barclays Capital, Research Division: I guess, the 4 points of pricing with a 6-point volume drag does actually seem a lot more severe in terms of the volume impact than was the case at any time in the last 6, 7 years when you price. So should pricing accelerate from here and the volume -- is your expectation of volume remains kind of similarly challenged and pricing accelerates? Or does it in fact feel like the elasticity is worse than it was this time around 3 years ago?
Thomas J. Falk: I think in some cases the de-sheeting was a little bigger than maybe we've done in prior years, because in part because of some of the commodity cost run-up. But I think we've got most of the price in the marketplace as we speak on Consumer Tissue, They're may be a little bit more that comes internationally, but there's not going to be anymore plans at this point in time in North America.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. So if you'll maybe the missing piece of the puzzle then is adding in the margin improvement, that it's not just about the top line, it's the profitability of every roll sold, is that much better right now?
Thomas J. Falk: That's right.
Mark A. Buthman: Yes.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. And then on the inventory -- actually, sorry, on curtailment, is there a way for you guys to sort of manage curtailment better. I mean with better forecasting, because it doesn't sound like [indiscernible] it's tissue demand in Europe, but it's North America, birthrate challenges continue, should that really be much of a surprise at this point that we're still looking at curtailment being a 50-basis point drag in a given quarter? It just feels like to me, it's maybe something where you should be adjusting your production well in advance than needing to make this kind of adjustment?
Thomas J. Falk: Yes, I guess I'll interpret it, we're more disciplined about hitting target inventory levels and not running up inventories. Inventory historically is the slack variable, and if you miss your sales forecast, you just ran your inventory up. We're more disciplined now about taking the downtime in the quarter, as you realize you're off track from a sales forecast, you shut the process and don 't build the inventory. And so as a result, you're seeing more real-time impact from curtailment than maybe we would've seen several years ago. And I think you're seeing that throughout the extended supply chain. I think you're seeing retailers adjust inventory levels quicker, if they're not seeing foot traffic than they would. And so the reality is in most cases, you own the asset at this point. So you can't -- if you can't do anything else other than curtail it, if you've got a demand shortfall.
Lauren R. Lieberman - Barclays Capital, Research Division: But is there room or as you look over the next 12 to 24 months, to be more anticipatory in terms of demand levels in child care and infant care in North America?
Thomas J. Falk: So I mean, we haven't added a diaper machine or a training pant in North America in a long time, so we have kind of what we have. And we think we will need it as we drive innovation and continue to grow the business. Those would probably have a bigger impact on us, as we move internationally and have had more productivity growth, we've been able to actually sequence our capital better and probably do a better job of planning our international production capacity to a larger extent than we've maybe done previously.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. Because the margins in Personal Care, I know you've walked through the Personal Care feeling the brunt of the cost inflation this quarter and the timing on pricing. But is the margin performance in that business this year has been pretty notable, right? And going back to the first quarter, you guys talked about some onetime items in the quarter in addition to lack of price in commodity cost inflation and expecting to get better as the year progressed, so is there anything else? It feels a little bit like something's missing to be looking at 16.5% margins at a business that typically run 20% to 21%. It just had a very sudden change in profitability profile in the last 9 months.
Thomas J. Falk: Yes, I mean, there's no question. When you say notable, we've noticed that as well. And so no one's satisfied with where the Personal Care margins are. So we are going to get more price in North America in the fourth quarter, that will help. We should see some sequential commodity improvement that will help. And in the meantime, we're going to keep the innovation coming to continue to drive the business forward. So we've had good success in lots of areas like Adult Care, Feminine Care that are positives, but we got to show it with growth and margin over time.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. The slip-on diaper, I'm guessing, do we -- how far does that need to go in terms of share for it to be a mix positive, strong enough to offset some of the -- sorry, the negative mix dynamics from Child Care? Because Child Care is such a big business that's probably going to win for a while.
Thomas J. Falk: Yes. I know, I think that the drag on Child Care category is going to be a bigger impact than slip-on can overcome, that's for sure.
Operator: Our next question comes from Javier Escalante with Consumer Edge Research.
Javier Escalante - Morgan Stanley: I think that the question probably would be better for Mark. It has to do with the gross margin progression that you are guiding to for the fourth quarter versus the lack of improvement in gross margin in the third quarter. What I see is that we didn't see a sequential improvement in the third quarter in a espy [ph] that commodities improved, right? You have 150 pressure versus 180 in the last quarter. You have 3 points of pricing in the third quarter versus 1 point of pricing in the second quarter, and you have $90 million in FORCE savings in the third quarter versus $50 million in the second quarter. So all of these 3 items should add up to margin progression to see some improvement in gross margin, and yet something held back this improvement. So could you tell us what held back the gross margin progression in the third quarter that is going to be changing in the fourth quarter so we will see these items benefiting the gross margin line?
Thomas J. Falk: Yes, I mean, I'll start and I'll let Mark give you kind of the color commentary. If you look at sequentially, you'd say, okay, pricing is going to be better in fourth quarter versus third quarter. Commodity costs could be a little bit better fourth quarter versus third quarter. Still higher than last year but should be sequentially better. Currency will be a drag and so that will partially offset those. And then downtime, at this point, our guidance would say that it should be slightly positive. So not as negative as third quarter. And then part that was last year's fourth quarter, had a bigger drag from downtime. So we'll be lapping that from a comp standpoint. But, Mark, if you want to give them any other color to that.
Mark A. Buthman: Yes. Javier, I think third quarter volumes were lighter than we expected. Other than that, Tom's review of the bidding is about right. We want better pricing, slightly better commodities, currency will go the other way, downtime will be about the same.
Javier Escalante - Morgan Stanley: So just to clarify, right, we had all those improvements already in the third quarter relative to the second quarter. So basically, we didn't see the margin improvement. So my understanding then is that the swing factor fought off to see the margin improvement that you're guiding to, is at volume, either curtailment or whatever have you is going to be better than it was in the third quarter. That is going to make the difference for us to see the sequential improvement that you are guiding to.
Thomas J. Falk: Yes. I guess, I said, Javier, in some cases commodity costs peaked in the third quarter. So for example, secondary fiber was at its peak in the third quarter and the Personal Care pricing and baby child care is going to come in the fourth quarter, so we'll have more price in the fourth quarter than the third from some of those businesses. So I do think that the story for the fourth quarter is a little different than the third quarter.
Javier Escalante - Morgan Stanley: Yes, but if you -- I mean, just not to beat this horse to death, but you have $30 million lower commodities, you have around $100 million better in revenues because of pricing, and you have $40 million better in FORCE savings in the third quarter, and yet gross margins were similar to what we saw in the second quarter. So the question is, what is holding back the improvement in the third quarter relative to the second quarter that is going to change in the fourth quarter relative to the third quarter?
Paul J. Alexander: I think, Javier, we've tried to explain the key moving pieces both in the news release and the remarks. And Tom's color about the fourth quarter of the key changes sequentially, are just what he said, which is commodity costs coming down somewhat, a bit more pricing and a fair amount of those 2 things are offset by currency. So we do believe that sequentially, that our gross margins will pick up from third quarter levels and we'll come back to you at the end of the year and tell you how we did.
Javier Escalante - Morgan Stanley: And of the $100 million lower raw material costs that you are forecasting for 2011, how much of it was already accretive in this fourth -- in the third quarter? And if you can tell us what is, what kind of pulp prices are you assuming for the Q4? And that will be my last question.
Mark A. Buthman: Yes. Most of the $100 million change in inflation will come in the fourth quarter, and in terms of pulp pricing for the fourth quarter, we're assuming between $9.35 and $9.50 for northern softwood.
Operator: Our next question comes from Connie Maneaty with BMO Capital Markets.
Constance Marie Maneaty - BMO Capital Markets U.S.: I just have a few questions. Given the downtime and the curtailment you've taken and slowing birthrates almost worldwide, what is your capacity utilization in diapers and training pants? And do you think that your plans and your production lines are in the right location, as you look 3 to 5 years out for where growth is slowing and for where it's really picking up?
Thomas J. Falk: As you saw in the quarter from K-C International, we still got a huge growth story. So you got a great category penetration opportunity in the International markets that's far outweighing the impact of a slow birthrate. And so, it's taking a mom from using 1 diaper per day to using 5 diapers a day, as they would in developed markets is a big, big deal. And so we're still adding capacity in, for both diapers and pants, as well as fem care as well as adult care in our international markets consistently. And so that trend will play out for a number of years to come. In North America, it's -- I'd say we're -- we've got some additional capacity, but we've also got a pretty aggressive innovation agenda. And so I think, we've got some slight additional capacity, but nothing that I would say that I'm particularly worried about at this point in time.
Constance Marie Maneaty - BMO Capital Markets U.S.: Okay. What's the outlook for the Santa Diaper and how would you compare it to the blue jean diaper?
Thomas J. Falk: Well, I think fashion is something we continue to believe is a big idea. Being first, being innovative, being different, being relevant is key. So we're excited about it, and we'll see what Mom feels about it when it gets to the marketplace.
Operator: The next question comes from Karen Lamark with Federated Investors.
Karen Lamark - Federated Investors: I just wanted to follow up on Lauren's questions about day production curtailment, and the first thing I wanted to know is, how much of it is a function of your own forecasting versus say, retailer actions?
Thomas J. Falk: Well, they're sort of related, so we can certainly do a better job of forecasting, and so that's part of it. But it's also sometimes, where a retailer decides they're going to bring inventories down at the end of the quarter. You can only react to that. So yes, you wish you knew about it earlier. You could have planned better, you would have forecasted better. But I think that's a challenge for our teams, is that we can do a better job of forecasting the business so that we can run our supply chain as efficiently with as low inventory as possible.
Mark A. Buthman: I think the good news is, we've got better capabilities to do that than we ever had before. And what you're seeing as inventories continue to cross the enterprise to come down, and faster reaction time on our part when we do miss a demand plan.
Karen Lamark - Federated Investors: Okay. And then also, are the curtailments meaningful beyond sort of the baby, Personal Care category? Are there any other categories that are showing signs of the need for production cuts?
Thomas J. Falk: Yes, it was predominately concentrated in Personal Care and Consumer Tissue. Basically health care and K-C Professional, there wasn't much curtailment in the quarter. And so, we're a little light on Scott tissue relative to expectations, and took some time out of the schedule from that standpoint. But nothing out of the ordinary from how we'd run it quarter-to-quarter.
Operator: Our next question comes from Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Just a question about how we should be thinking about marketing investment, in CT in particular. It looks like I see in this quarter is down, actually we've even on this call, have had debates about the ROI on marketing investments in Consumer Tissue, specifically, have your thought process changed at all about that, the ROI your getting by marketing spend there in this environment or even broader longer-term?
Thomas J. Falk: Well, I mean, I think we continue to get better at measuring ROI and allocating spend. And I'd tell you, actually some of our highest ROI events in the company have been in Kleenex facial tissue. So we measure it, we look at it across the portfolio and look to see what's the right vehicle. We're doing a better job of being creative and channel agnostic in terms of how we bring those to market. But we'd say particularly for the premium end of the category, things that we've done with the Mike Rowe campaign on Viva has responded positively to the sales growth you've seen in our towel business. Our Kleenex facial tissue activities that we've had going have had a high return, and COTTONELLE is a pretty high margin category, so there's some responsiveness there. So we do track it and make intelligent investment decisions.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: But we should expect on CT particularly, marketing spending to continue to go up as a percent of sales?
Thomas J. Falk: I would say, yes. But we'd look, probably for more opportunities to drive adult care, drive fem care, drive baby child care around the world. If you look at the big picture, Consumer Tissue is probably going to be more a North American story. I think the other markets around the world is going to be a little bit spottier in terms of where those opportunities are.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: So given that though, and the kind of beneficial ROI you're getting, shouldn't we be concerned that it is down this quarter?
Thomas J. Falk: I think it's more a function of what your cycle of investment is, and so the fact that we launched Cool Touch at the end of the quarter, you're going to see a little heavier push on that in the fourth quarter. As we were going through a pricing cycle, you tend to wind up not as much on promotion with some retailers, until you get your new prices established, and so you often want to couple strategic investment with trade execution. If you're not going to get the trade execution, you'd pull back a little bit. So I wouldn't read too much into it, it's more a function of timing of innovation than anything else.
Operator: Our next question comes from Chip Dillon with Vertical Research Partners.
Chip A. Dillon - Vertical Research Partners Inc.: Just a quick follow-up, as you all have grown overseas, I just wanted to get an update on your sort of exposure to 2 raw materials, one would be waste paper and the other one the pulp. The last I had was like $2.5 million for pulp, and $900,000 for waste paper annually.
Thomas J. Falk: I think the pulp number is pretty close. The waste paper number is more like $1.2 million, so.
Chip A. Dillon - Vertical Research Partners Inc.: Basically, all you're buying would be kind of the pulp substitute-type grades, the bleached kind of collections.
Thomas J. Falk: Yes. I mean, you're looking for a higher-quality wastepaper, if that's not an oxymoron. But kind of an office waste kind of a grade, as opposed to the really cheap stuff.
Chip A. Dillon - Vertical Research Partners Inc.: Got you. And then, just another quick one. On the charge in the fourth quarter -- sorry, the third quarter for the pulp and tissue, I would assume about $80 million of it was in depreciation. I don't know if you gave that somewhere, but is that about right?
Thomas J. Falk: I don't know that we gave that level of detail, but the team's looking through that. It's basically the things tracking with our plan there. They're giving me smiley faces, so it sounds like you're in the ballpark with the $80 million, so.
Operator: At this time, we have no further questions in the queue.
Paul J. Alexander: All right, thanks, David. We appreciate the questions. And we'll just finish with a closing comment from Tom.
Thomas J. Falk: Well, once again, we're tracking, executing our Global Business Plan. We're pleased with the progress we made in the quarter, but not satisfied, and we appreciate your support of Kimberly-Clark. Thanks very much.
Mark A. Buthman: Thank you.
Operator: Ladies and gentlemen, that concludes today's presentation. You may disconnect at this time.